Operator: Good day everyone and welcome to Orbital Energy Group's Fourth Quarter and Full Year 2020 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow management's remarks. As a reminder, this conference call is being recorded. A replay of today's call will be available on Orbital Energy Group's website later today and will remain posted there for the next 90 days.  I will now hand the call over to Mr. Eckstein of KCSA for introductions and the reading of the Safe Harbor statement. Please go ahead sir.
Scott Eckstein: Thank you operator. Hello everyone and welcome to Orbital Energy Group's fourth quarter and full year 2020 conference call. A copy of the company's earnings press release and accompanying PowerPoint presentation are available for download on the Events and Presentations page of the Investor Relations section of the Orbital Energy Group website. With us on today's call are Jim O'Neil, Vice Chairman and Chief Executive Officer; and Dan Ford, Chief Financial Officer. Today, we'll review the highlights and financial results for the fourth quarter and the full year as well as recent developments. Following these formal remarks we'll be prepared to take your questions. I would also like to remind everyone that today's call will contain certain forward-looking statements made within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities and Exchange Act of 1934 as amended. Such statements are subject to risks and uncertainties that could cause actual results to vary materially from those projected in forward-looking statements. The company may experience significant fluctuations in future operating results due to a number of economic, competitive, and other factors such as the COVID-19 pandemic including among other things the company's reliance on third-party manufacturers, suppliers, and service providers; government agency budgetary and political constraints new increased competition; changes in the market demand and the performance or liability of its products and solutions and services. These factors and others could cause operating results to vary significantly from those in prior periods and to those projected in forward-looking statements. Additional information with respect to these and other factors which could materially affect the company and its operations are included in certain forms the companies filed with the Securities and Exchange Commission. These forward-looking statements are based on information available to Orbital Energy Group today and the company assumes no obligation to update statements as circumstances change. Now, at this time, it is my pleasure to introduce Jim O'Neil, Vice Chairman and CEO of Orbital Energy. Jim, please go ahead.
Jim O'Neil: Thank you, Scott and thank you everyone for joining us today on our fourth quarter and full Year 2020 earnings conference call. As most of you are aware I joined CUI Global, now Orbital Energy Group in October of 2019 to guide its transformation into an infrastructure service provider serving the electric power transmission and distribution telecommunications and renewable markets. During 2020 despite COVID headwinds, we began to execute on our infrastructure strategy and lay the foundation for our long-term growth. Last year we launched Orbital Power services, which provides electric transmission and distribution construction and maintenance services to the electric power industry. We also acquired the Reach Construction Group, now Orbital Solar which provides engineering, procurement, and construction services to the utility-scale solar industry. And in the first quarter of this year, we launched Eclipse Foundations which provides drill peered foundations to the electric power industry. We believe the powerful market drivers for our infrastructure services will only increase over time and should drive increased demand for our services for many years to come. The drivers include the nation's transmission and distribution infrastructure, which is aging beyond its useful life and renewables replacing fossil generation, which is a top priority for the bond administration as well as the 37 states and four U.S. territories that are mandating a reduction in carbon emissions. Other factors such as advances in technology to provide an intelligent and secure grid and the rollout of the 5G spectrum or some but not all of the major drivers that we expect will drive our future growth. As such we have acted to capitalize on these market opportunities. Orbital Power Services has established a multiyear master service agreement with cooperatives in Oklahoma and Georgia. And in the fourth quarter of last year, a major investor-owned utility in the Southwest, which has increased Orbital Power's annualized revenue run rate by 30%. We are currently in discussions with several investor owned utilities to provide crews for ongoing services to support capital projects and maintenance on our transmission and distribution systems. Based on the steady increase in the business over last year, we expect older power to be cash flow positive in the second quarter of this year and anticipate increased demand for their services going forward. It is important to note that most of Orbital Power's revenues are under master service agreements, which provide a stable and recurring revenue stream. Complementing this, our Orbital solar services business is a provider of engineering procurement and construction services to the utility scale solar market. Our solar business and to a greater extent the overall activity in the utility scale solar market industry at large has been limited over the past few quarters. This is mainly due to the effects of COVID-19, which created manufacturing setbacks and delivery delays of solar panels from China to the United States, as well as a pause and project momentum from people waiting on potential incentives and tariff relief from the Biden administration. Seasonality also plays a factor here and will do so in the first quarter of 2021. In this industry, most of the projects will start late in the second quarter with significant activity in the third quarter and projects winding down sometime in the fourth quarter. Our backlog of $52 million at the end of the third quarter of last year was largely around one project, which was delayed resulting in an accelerated construction timeline. We subsequently could not come to an acceptable commercial terms on the revised pricing necessary to support this quick turnaround. And as a result, the project contract was canceled. Though this project was canceled, we have maintained a strong relationship with this developer and expect that there will be opportunities to work on their future projects. It's important to remember there is a considerable degree of revenue cyclicality in this service line where construction revenues are primarily driven by large projects. However, we are currently evaluating a project pipeline in excess of $1 billion, of which many of these projects will go to construction this year. Based on the opportunity pipeline, we continue to believe it is reasonable that revenues for 2021 will be in the $200 million to $300 million range. In addition to the opportunity pipeline we are currently evaluating in January, we announced that Orbital Solar is exclusive provider of engineering, procurement and Construction services to the Black Sunrise Half Century Fund and Akon Lighting America. Recently the Black Sunrise Fund announced that over the next three years and will be building over 1 gigawatt of solar power on retired coal generation facilities with a beginning investment of $725 million. Construction on these projects will start as early as the fourth quarter of this year. Again, this is additive to the $1 billion opportunity we are pursuing this year and a multibillion-dollar pipeline over the next several years. Subsequent to quarter end, we launched Orbital Foundations, a drilled shaft foundation construction company operating as Eclipse Foundation group. Eclipse is complementary to our other service lines, primarily to Orbital Power, as building electric transmission or substation facilities often requires foundations. Our ability for Orbital Power and Eclipse to provide customers with a total solution positions Orbital Energy Group to capitalize on more opportunities at higher margins. Our Orbital Gas Systems, North American business was the most impacted compared to our other service offerings by COVID in the 2020 oil price drop. In the fourth quarter, customers, particularly in the Gulf Coast refining market signaled that spending would resume in 2021. As a result, Orbital Gas Systems in Houston has a $4 million backlog with a high potential for additional project awards in the near future. Of note, our VE Technology sampling probes have been widely accepted and approved by Tier 1 or major oil companies. These companies are now relying on Orbital Gas to solve their challenging probe applications, specifically obtaining accurate and faster sampling of trace elements such as mercury, H2S and moisture. This has resulted in for the first time Orbital gas being approved as an integration supplier to Tier 1 customers, expanding our opportunity to win larger projects. Of note, in the first quarter of 2021, Orbital Energy Services acquired full ownership of the VE Technology patent portfolio. We have also expanded our integration and technology applications into the renewable markets and received our first biogas to grid entry order this year. We are now building momentum to win the integration of analytical packages and also provide maintenance, services for these systems in the biogas market. Over the past three years, the recognition of Orbital Gas North America's working ship and technology and subsequent approval as a Tier 1 vendor has significantly changed the opportunity to grow revenues in 2021 and beyond. The impact of COVID to the Orbital Gas in the UK was not as severe as in the US. Our UK operation has been cash flow positive since the third quarter of last year and cash flow should remain favorable through at least the first six months of this year. This is a result of our UK operations recently expanding into developing markets outside of its traditional core gas network business. These efforts have led to significant orders in the renewable gas markets in excess of $2 million. Despite COVID, the UK operation has also taken on more staff to take over service contracts on analytical systems, replacing incumbent equipment, manufacturers or OEMs. Now I'll review some highlights on our fourth quarter and full year 2020 results. Total revenues for the quarter were $11.3 million, a 99% year-over-year increase compared to $5.7 million for the fourth quarter of 2019. The year-over-year increase was primarily due to the cadence of business returning to pre-COVID levels throughout most of our operations, as well as the addition of revenues from both Orbital Solar and Orbital Power services, collectively our electric power and solar infrastructure segment. The revenue from our electric power and solar infrastructure segment was offset in part by lower revenues from our Orbital Gas systems operation in Houston, which, as I mentioned earlier, continued to experience project delays related to the pandemic, as well as lower oil prices. For the most part, customers and service providers alike have adjusted to operating in the current COVID environment and have implemented appropriate standards that provide for everyone's safety while also maintaining business continuity. The net loss for the quarter was $7.5 million compared to net income of $4.5 million for the comparative period last year. We had higher SG&A expenses compared to last year, primarily due to the addition of overhead costs associated with supporting both Orbital Solar and Orbital Power services operations which commenced this year. Also Q4, 2019, net income included $7.4 million of income from discontinued operations compared to only $0.2 million in fourth quarter of 2020. As we stated on our last earnings call, we expect our electric power and solar infrastructure services group to contribute positively to our 2021 consolidated results, as revenues in this group continue to increase. On a consolidated basis, we continue to believe that OEG is on track to be EBITDA and cash flow positive, as revenue momentum continues throughout 2021 and beyond. Dan will provide more details on our financial performance shortly. OEG's total consolidated backlog stood at $40.4 million at the end of 2020, with an opportunity to add additional Orbital Power master service agreements and solar project awards to the backlog in the second quarter of 2021. Looking at our business segments, going forward, for Orbital POWER services, we're expecting to continue adding additional crews, as we are seeing increased demand from transmission and distribution services. Indeed, the number of Orbital Power crews has grown rapidly since inception early last year and recently surpassed 30 crews in total, up substantially from 17 at the end of 2020. The industry trends I mentioned earlier are the drivers for the strong demand we are experiencing and we continue to remain confident about Orbital Power services continued opportunities for growth. Turning to Orbital Foundations, which we launched less than two months ago, Eclipse has built two crews and is already mobilized on its first job. We are currently reviewing $4 million in near-term opportunities and the pipeline for drilled pier foundation services continues to grow each week, as we get established in the market. We expect to win our fair share of this work as the leader of Eclipse is an established leader in foundation services to the electric power industry. As I mentioned, we believe Orbital Solar will begin to secure project awards in the second quarter and be on track to generate $200 million to $300 million in revenue this year. We also anticipate that the engineering and design of the Black Sunrise Half Century Fund will start in the next few months with construction scheduled to begin as early as the fourth quarter of this year. We believe Orbital Gas Systems will continue to show improvement. In the U.K., where we serve the gas grid and renewable energy customers throughout the U.K. and Continental Europe, the biomethane injection to grid market has continued to develop under the U.K. government's current renewable heat incentive scheme with a notable acceleration and growth of the number, size and speed of execution of such projects. Renewables represent an increasing opportunity for the U.K. Orbital has also developed an all-new Mitsubishi based control system platform far superior to previous models and to its competitors in terms of functionality, reliability, cyber-security and operator usability. These advantages have generated repeat business from some of the major players in this market. As a result our U.K. operations is expected to improve financial performance in 2021. Orbital gas in Houston, which largely serves the industrial Gulf Coast refining market, has experienced a resurge in activity in 2021. With the strong and growing backlog and our acceptance by Tier 1 customers to work direct, we believe the positive trend in the U.S. will continue throughout 2021. Our VE technology continues to gain acceptance in the marketplace. And as a result, many customers are looking to Orbital to solve their sampling and measurement challenges. And last, but certainly not least when I joined the Orbital Energy Group, part of my strategy was to utilize the public company equity to make accretive strategic acquisitions in the electric power transmission and distribution telecommunications and renewable infrastructure markets to grow shareholder value for many years to come. Last year it was challenging to implement our acquisition strategy as a sub-$1 stock price was not conducive to acquiring companies. Earlier this year, based on continued execution of our strategy and market trends, our stock price increased and stabilized to a level where we could go on the offensive with our acquisition strategy. Now we're in a much better position to leverage my knowledge and relationships within these industries as well as the ability to offer a different and compelling acquisition strategy to privately owned companies who do not want to sell into a large strategic or private equity model. We have several acquisition targets that meet our criteria and can add immediate shareholder value. Orbital Energy is a forward-looking story with a significant runway to achieve profitable growth from continued growth of our existing operations to adding well-established properly held companies that want to join our team and build shareholder value for years to come. Our announcement today to acquire Gibson Technical Services or GTS is our first strategic acquisition in 2021. GTS founded in 1990 is located close to Atlanta, Georgia is a national provider of engineering, design, procurement, and project management services to the broadband and wireless industries serving blue-chip customers under multiyear master service agreements. GTS has the first customer base which includes traditional telecom and cable system providers, healthcare, public safety, and entertainment and sporting venues. This was an extremely attractive transaction for us as GTS anticipates multiple growth opportunities over the next several years and needed a strong financial partner to invest in these opportunities. I'm very happy about this announcement and look forward to answering questions that you have on GTS in our Q&A. We are also in discussion with several electric power transmission and distribution construction companies that are proven leaders in the industry and have multiple MSAs with blue-chip customers. We have agreed to terms with one of the targets now under LOI and due diligence has commenced. These represent attractive acquisition candidates that we want to be part of the Orbital team. We believe the company is positioned now to make significant acquisitions like GTS that will serve to build our infrastructure offerings going forward. And finally, as we continue to execute on our energy infrastructure strategy, a critical component of this will be creating a robust environmental, social, and governance platform that will be essential in reshaping the culture of our company. Specifically, our desire to provide services that continue to reduce carbon emissions or providing opportunities for people of color and other underserved are disadvantaged people to be trained employed and advance in our industry. We recently named a Chief Diversity Officer for our company, Paul White who also serves as our Vice President of Human Resources and is a member of our Board of Directors. Paul will be instrumental in assisting need to further develop and advance our social platform within the company. ESG is a top priority for our investors and it was also an area of responsibility for corporate executives to advance because it's the right thing to do. At Orbital Energy Group, we intend to be the catalyst for change in the electric power and renewable construction industry making a meaningful impact to help people improve their own lives. In summary, Orbital Energy Group is a forward-looking story. To-date, we have already made considerable progress in building a diversified and infrastructure services company focused on electric, transmission and distribution, telecommunications, and the renewable industries. Going forward, we will be targeting acquisition opportunities in the electric, power, and telecommunication industries that primarily provide steady, dependable, and recurring revenue streams. In time, the recurring business we acquire and grow organically will more than offset the cyclicality we experience in the utility-scale solar business. This concludes my opening remarks. Now, I would like to turn the call over to Dan Ford, our Chief Financial Officer. Dan?
Dan Ford: Thank you, Jim and good afternoon everyone. Today I will review our fourth quarter and full year 2020 financial results. I'd like to remind everyone that I will focus my remarks today on the company's continuing operations. Also please note that with the acquisition of Reach Construction Group in April 2020 now operating as Orbital Solar Services, the company revised its segment structure. The electric power and solar infrastructure segment was formed during Q2 and now includes Orbital Solar Services, Orbital Power Services and now also Eclipse Foundation Group. Previously, Orbital Power Services, which commenced operations in the first quarter of 2020, was included as part of the Energy segment, which has now been named the Integrated Energy Infrastructure Solutions and Services Segment and includes Orbital Gas Systems Limited in the UK and Orbital Gas Systems, North America. The former Power and Electromechanical segment is presented in discontinued operations. As the electromechanical business was disposed of during Q3 of 2019, while the remainder of the domestic power business was divested during Q4 of 2019. CUI Japan was divested effective September 30, 2020 and CUI-Canada operations were closed in assets sold in the fourth quarter of 2020. I'll speak more on this topic later in my remarks. We reported total revenues of $11.3 million for the fourth quarter of 2020, compared to $5.7 million for the fourth quarter of 2019, an increase of 99%. The year-over-year increase reflects the addition of Orbital Solar and Orbital Power Services, as well as increased customer activity during the quarter, following COVID-19 related project delays we experienced earlier in the year. This was partially offset by lower revenues during the quarter from our Orbital Gas Systems operations in Houston, which continued to experience project delays related to pandemic, as well as lower oil prices and lower revenues from our UK operations. The UK market continued to face headwinds around COVID-19, Brexit and the impact of the political environment on investment within the sector, while the US markets also continue to face headwinds surrounding COVID-19 and the price of oil. For the full year 2020, total revenues were $38.4 million, a 63.5% increase compared to $23.5 million for the full year 2019. Revenues were higher due to the acquisition of Orbital Solar Services and the development of the company's Orbital Power Services business, which were offset by lower revenues from our Houston and UK Orbital Gas Systems operations due to the factors I mentioned earlier. Gross profit was $3.1 million for the fourth quarter of 2020, compared to $1.5 million for the fourth quarter of 2019. For the full year 2020, gross profit was $7.1 million compared to $5.8 million for the full year 2019. The improvement is mainly due to the increased revenues, as I mentioned previously. We expect this improvement will continue during 2021. Gross margin was 28% for the fourth quarter of 2020, compared to 26% for the fourth quarter of 2019. For the full year 2020, gross margin was 18.5%, compared to 24.7% in 2019. We expect margins to improve during 2021, as Orbital Power Services gain greater operating efficiencies and new customers. Significant solar products commenced in 2021 with improved margin and increased revenue and companies throughout the industry has continued to adapt to the new operating environment created by COVID-19. Increased sales of higher-margin products, a better mix integration projects, increased service revenues throughout our energy focused operations and solar projects for Orbital Solar are all expected to drive continued improvement to the company's profitability, as well as the GTS acquisition, which we believe will be accretive. For the fourth quarter of 2020, SG&A was $8.2 million, compared to $6 million in the prior year period. The increase in SG&A for the quarter was due to an increased SG&A costs related to Orbital Power services and Orbital Solar, along with increased corporate costs, largely due to strategic initiatives, which included increased professional fees and costs associated with due diligence activities related to prospective acquisitions. These increases were partially offset by decreased SG&A costs and the Integrated Energy Infrastructure Solutions and Services segment that implemented cost cutting measures. SG&A expenses for the full year 2020 increased to $29.4 million from $20.1 million for the prior year. SG&A expenses improved as a percentage of revenue to 76.5% compared to approximately 85% in 2019. The company's operating loss was $8.2 million for the fourth quarter of 2020, compared to $4.9 million in the prior year comparative period due to the items previously mentioned. For the full year 2020, operating loss was $28.8 million compared to $16 million for the full year 2019. As Jim noted, net loss for the quarter was $7.5 million compared to net income of $4.5 million for the fourth quarter of 2019. Please note that the Q4 2019 net income included $7.4 million of income from discontinued operations. As we mentioned on our last call, we experienced solar project delays through Q4, along with higher SG&A expenses during the quarter, specifically attributable to Orbital Power services and Orbital Solar overhead costs, which negatively impacted Q4 results. For the full year 2020, net loss of $27.4 million compared to $1.1 million for the full year 2019. We expect an increase in Orbital Solar and Orbital Power services activities in 2021. For Orbital Solar, the company expects the meaningful growth of the utility-scale solar market to drive significant backlog and revenue growth in 2021. As Jim previously mentioned, Orbital Solar growth will be buoyed by its partnership with the Black Sunrise investment fund over the next few years. We believe the earnings of Orbital Solar will positively impact the group. In addition, Orbital Power services should also continue to grow its business throughout the year and we currently expect this segment to achieve profitability in the second quarter of 2021. At December 31, 2020, our backlog was $40.4 million compared to $9.6 million at December 31, 2019. The year-over-year increase is due to the inclusion of Orbital Solar backlog and growth in Orbital power. This also reflects updated timing orders and delivery schedules for integration customers. Lastly, we ended the year with cash and cash equivalents of $3 million and restricted cash of $1.5 million. In Q4, cash used in operating activities was $5.1 million, compared with approximately $951,000 in Q3, $1.3 million in Q2 and $7.7 million during the first quarter. Cash used in investing activities during Q4 was approximately $34,000, compared with $303,000 in Q3 $186,000 in Q2 and $7.4 million in Q1, which included the $3 million note receivable with Reach Construction that an acquisition was allocated to the purchase. We continue to take steps to shore up our liquidity, including disciplined management of both working capital and expenses. In the first half of 2020 Orbital and its subsidiaries entered into unsecured loans in the aggregate principal amount of approximately $1.9 million pursuant to the Paycheck protection program. The loans and interest thereon is forgivable, partially or in full, if certain conditions are met. The company has applied for forgiveness of these loans. We supplemented this liquidity by issuing $45 million of shares of stock in January 2021, along with a new shelf registration that allows the company to issue as much as $150 million in additional shares of common or preferred stock or public debt as we explore potential avenues for growth and acquisitions. Before I turn it back over to Jim, I'd like to provide an update in CUI Canada and CUI Japan, both of which were previously classified as assets held for sale, in line with our strategy to transform Orbital Energy Group into a diversified infrastructure services platform certain North American and U.K.-based customers. In 2020, we completed the sale and final disposition of the assets and liabilities of both of these subsidiaries. With this completed, the company has fully exited its previous power and electromechanical operations. With that, I’ll now turn the call back over to Jim for closing remarks.
Jim O'Neil: Thank you Dan. In closing, we accomplished a great deal in 2020 despite COVID, the price of oil and the sub-$1 stock price. While it was a challenging year, we laid the foundation for our future growth as an infrastructure service provider in the electric power, transmission and distribution, telecommunications and renewable industries, as well as its positive improvement to the performance of our legacy gas system business. Market trends for all of the industries we serve have multiyear tailwinds with significant market drivers. And at our current stock price, we can now go on the offensive to make meaningful accretive acquisitions, which will add clarity to our infrastructure strategy, significantly change OEG's financial outlook and should add considerable shareholder value. Last but not least, we will be a strong environmental social and governance or ESG platform; we take this commitment very seriously with the goal to be a recognized leader in advancing ESG in the industries we serve. That concludes our prepared remarks. Now, I would like to open the call for questions. Operator please go ahead.
Operator: Thank you. [Operator Instructions] Our first question comes from Liam Burke with B. Riley. Your line is now open.
Liam Burke: Thank you. Good morning, Jim. Good morning, Dan.
Jim O'Neil: Good morning, Liam.
Liam Burke: Jim, I apologize for this question, but I'm looking for clarification on the revenue you're discussing in 2021. Is that your entire revenue estimation or is that just Solar? I didn't quite catch that?
Jim O'Neil: Sorry, yeah. It's just solar that we still believe that we can generate $200 million to $300 million from Solar, we should start seeing some awards here in the second quarter. I mean, it only takes two to three big projects to get to that point. So we expect to see that level of activity soon.
Liam Burke: And then when thinking about it, you've also got the layer of MSAs that are flowing through the P&L as well?
Jim O'Neil: That's right. That's right. And I think Orbital Power is going to at least double revenues from what they did last year because they continue to ramp. And GTS is just -- we're just really excited about having them on board. They're going to bring some consistent revenues, they're well-established pipeline and they've got significant opportunities to grow both organically and through some tuck-in acquisitions that will add some significant synergies.
Liam Burke: Okay. And then on the backlog composition, is there any Solar in there, or is it primarily your traditional P&C work?
Jim O'Neil: It's the traditional P&C work. We're -- we do have two very small solar projects going right now, but nothing in backlog to note as of today. 
Liam Burke: Okay, great. And lastly on first quarter of 2021 I know you don't give quarterly guidance, but in terms of weather because it is a seasonal quarter, has the seasonality been better than worse than your -- compared to your past experience?
Jim O'Neil: No, I mean I think it's really just affected our solar business. Orbital Power has continued to ramp. And Orbital Gas businesses are quite active right now. So, it's really just the cyclicality that we're seeing in solar which could happen in large project work. It's just a function of what can happen in that business.
Liam Burke: Okay, great. Thank you, Jim.
Jim O'Neil: Thank you, Liam.
Operator: Thank you. Our next question comes from Eric Stine with Craig-Hallum. Your line is now open.
Eric Stine: Hi Jim, hi Dan.
Jim O'Neil: Hey good morning.
Dan Ford: Hey there.
Eric Stine: Hey good morning. Good to see the forward strategy start to come together here. Now, that you've got the balance sheet, just curious how you think about it. I mean should it still be a mix of acquisitions versus some of the organic steps you've taken or do you think that it will be skewed more towards acquisitions again now that you've got the balance sheet and you've got a stock price that you can take action?
Jim O'Neil: Well, I mean I think it's going to be a mix. We're going to continue growing organically, but you can really get some revenue ramp if you're bringing an established company through acquisition that's making significant revenues, like GTS, I mean they'll do -- they're on a $48 million run rate for this year. So, they'll make $8 million in EBITDA. It's hard to do that greenfielding in operation. It takes a little bit of time to do that to get to that point, which it functions like overall power services I mean it's going to take them a while to get there. They're growing. They're doing really well but to get to that level of EBITDA that is going to take a little bit of time.
Eric Stine: Got it. And do you -- are there areas -- I mean when you think about it you mentioned you got an LOI for an acquisition. I don't know if you can give any details there, but -- areas that you look at that would be logical places to fill now the Gibson acquisition made what are some other areas that you think makes sense as part of this platform there?
Jim O'Neil: Well, Gibson is going to be a great platform for our telecom services to grow. A priority for us is well like T&D and more specifically, a company that has a significant part of that revenue is tied to master service agreements that are multiyear with recurring revenue. That's a priority for us right now.
Eric Stine: Got it, okay. Maybe last one for me just to clarify. So, on the solar outlook that $200 million to $300 million. Is that -- like to say that that really wouldn't include anything from Akon that would be more of a 2022 event -- that would start? 
Jim O'Neil: That's right. We're not counting any of the Black Sunrise Fund into that $200 million to $300 million. It could start in the fourth quarter this year, but most likely it will be in the first quarter of 2022.
Eric Stine: Okay. Thank you very much.
Jim O'Neil: Thank you, Eric.
Operator: Thank you. Our next question comes from Jeffrey Campbell with Alliance Global Partners. Your line is now open.
Jeffrey Campbell: Good morning.
Jim O'Neil: Good morning Jeff.
Jeffrey Campbell: First of all, you offered to talk about the GTS acquisition, so I'd like to take up on that. I'd just like to better understand what services or advantages they bring to their customers?
Jim O'Neil: Well, I think, GTS they provide engineering design project management services to the telecom industry both in wireless and in broadband. And they work nationwide. So it was important to us to have a service provider that provided the high end engineering services and not just the construction services and telecom and they're well-established in working with customers on the front end of their designs, which often leads into the construction. So they do mostly project management. And in my past life, the areas where I've succeeded most in telecom is when we had the high end services and did project management over – over the construction resources, especially if you work nationally, you'll engage from the local partners there to do the construction. So we're quite – at it with the 5G rollout. I mean, they're doing a lot of work on the distributed antenna systems. They do a lot of inside work trying to advance the technology there for 5G to give more continuity of signal and less interruption of service. So – and they do a lot of work in the land care but they're also expanding out nationally and they've worked with other companies strategically that would be good acquisition targets and fits with prioritization to make one plus one equals three.
Jeffrey Campbell: Okay. Great. I appreciate that color. I wanted to ask you about the UK, the gas in North America, you mentioned that the refining business is picking back up. I just wondered, should we think of this as mainly recovering a backlog of work is that put off because of COVID-19 or is there any growth beyond that possible this year or in 2022? 
Jim O'Neil: Well, I think the $4 million in backlog they have is probably the highest they've ever been going into a year. And I think it's a combination of pent-up demand from what didn't happen last year plus trying to continue on their growth plans for 2021. So our customers told us in the fourth quarter to get ready. We're getting ready to get busy. And we started doing a lot of quoting and responded to RPUs [ph] in the fourth quarter and did materialize into some backlog. So I think our customers are figuring out how to work in this environment safely. And hopefully, we don't have any more interruptions like we did last year in that business due to COVID.
Jeffrey Campbell: And my last question is with regard to the – and there's a real natural gas project that you made reference to which I think is pretty exciting news. Can you tell us anything about where it's located or what type of customer is going to be taking the gas output?
Jim O'Neil: Yes. I mean we're doing – this is a – the renewable gas project, the grid intersystem that you're referring to?
Jeffrey Campbell: Yes.
Jim O'Neil: Yes. That's – I believe that project is in California. And I can't really mention who the customer is but we've got several opportunities across the nation to build those systems because we – that was a focus point of ours about a year ago to try to enter into that market and we've been successful. So we expect acceleration there not only in Houston area but also in our UK operation.
Jeffrey Campbell: Okay. Great. Thank you. Appreciate the color.
Jim O'Neil: Yes, sir.
Operator: Thank you. I show no further questions in the queue at this time. I'd like to turn the call over to Mr. Jim O'Neil, Vice Chairman and CEO for closing remarks.
Jim O'Neil: Well, thank you all for your time today and we look forward to your continued interest in the company and we look forward to having follow-up conversations with many of you in the next few days. So thank you and have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect. Have a good day.